Operator: Good morning, ladies and gentlemen. Welcome to the Canfor and Canfor Pulp Second Quarter Analyst Call. A recording and transcript of the call will be available on Canfor's website. During this call, Canfor and Canfor Pulp's Chief Financial Officer will be referring to a slide presentation that is available in the Investor Relations section of the company's website. Also, the companies would like to point out that this call will include forward-looking statements, so please refer to the press releases for the associated risks of such statements. I would now like to turn the meeting over to Mr. Don Kayne, Canfor and Canfor Pulp's Chief Executive Officer. Please go ahead Mr. Kayne.
Don Kayne: Thank you, operator, and good morning. Thank you for joining the Canfor and Canfor Pulp Q2 2019 Results Conference Call. I'll make a few comments, before I turn things over to Alan Nicholl, Executive Vice President of Canfor Pulp Operations and Chief Financial Officer of Canfor Corporation and Canfor Pulp. Alan will provide a more detailed overview of our performance in quarter two. Joining Alan and I today are Kevin Pankratz, Senior Vice President of Sales and Marketing; and Stephen MacKie, Senior Vice President of Canadian Operations, and Brian Yuen, Vice President of Pulp Sales and Marketing. Starting with our pulp business. Our mills delivered solid operating and financial performance in Q2 despite continued elevated global pulp inventory levels. However, as the quarter progressed prices declined as a result of a sharp decline in demand, combined with above normal inventory levels in several key markets. The result in price erosion combined with the effects of widespread sawmill curtailments in the British Columbia interior put a major strain on fiber supply in the interior of BC and led to our decision to take base curtailments over the summer at Northwood PGI and Taylor. These curtailments will assist us in achieving sufficient chip supply through the fall and the winter. In addition, we expect to see a modest increase in pulp prices in Q4 and into 2020 as global inventory levels move back in the balance, which will support improved earnings in the fourth quarter. Moving to lumber. I'll start with our BC business, which continues to face significant challenges due to very high log cost and depressed market pricing. This has resulted in significant curtailments in the BC industry including Canfor. In June, we announced that our Vavenby mill will be permanently closing and announced an agreement to sell our forest tenure in Vavenby to Interfor for $60 million. The tenure transfer is subject to approval by the Minister of Forests and we are working to meet all obligations for a closing in Q3. Also in June, we announced significant curtailments at all but one of our BC sawmills. The majority of the downtime was in June and July and will result in reduced supply of approximately 200 million board feet. Last week, we also made the difficult decision to indefinitely curtail our Mackenzie mill and permanently reduce our Isle Pierre mill from two shifts to one. This will enable Isle Pierre to better align its production capacity with the sustainable high quality fiber supply in the region. We deeply regret the impact all of these closures and curtailments announcements are having on our employees, contractors, families and the local communities. This is a very difficult time for our people and the communities and we thank them for their dedication and support through these difficult times. At our current operating rate, our regional production exposure is 45% in British Columbia, 5% in Alberta, 32% in the U.S. South, and 18% in Europe. SPF pricing continues to be weak as the market continues to be oversupplied. We believe that many of the permanent curtailments announced in the last number of months are just now becoming effective. As a result, we forecast that supply will be in a much improved balance later in the year. In addition, the very wet weather conditions, which were pervasive across much of North America over the winter and spring, appear to be improving and we anticipate increased demand in the fall. These two factors lead us to believe pricing for SPF will show a gradual improvement over the balance of the year. Housing starts have remained challenging due to an acute shortage of labor. However, we believe market participants are actively working to develop labor solutions in order to meet underlying demand. Offshore markets have suffered from high inventory levels as well and pricing has also been relatively weak. We expect that to resolve over the course of the next number of months particularly in Japan. Demand in pricing in China is expected to improve towards the end of the year. Southern Yellow Pine prices faced less of a supply issue and have rebounded somewhat in recent weeks as demand has improved. Our European business continues to run very profitably, consistent with levels seen in 2018 and we expect European SPF prices to moderate slightly in Q3 and Q4 driven by the weakness experienced in other markets but this will be somewhat offset by lower log costs. At the end of May, we closed the first phase of the Elliott acquisition and we now have a 49% ownership position in that company and expect to complete the final phase in May of 2020. We remain focused on continuing to reduce our debt levels and continuing to strengthen our balance sheet. Overall, despite the challenges we're experiencing in British Colombia, we continue to expect gradual improvement over the year and we will continue to benefit from our geographic and product diversification. I will now turn it over to Alan Nicholl to provide an overview of our financial results.
Alan Nicholl: Thanks, Don, and good morning everyone. As Don mentioned, the Canfor and Canfor Pulp quarterly results were released yesterday afternoon. These results come together with a quarterly overview slide presentation in the Investor Relations section of the respective company's websites. In my comments, I'll expand on a number of Don's points and also speak specifically to several quarterly financial highlights. Our lumber segment reported an operating loss of $61 million for Q2, an improvement of $17 million from the previous quarter. Results included a net duty expense of $45 million, restructuring cost of $12 million and a $25 million reversal for previously recorded inventory write-down provision. After taking account of these items, our operating loss was $29 million. Lumber segment results in Q2 continued to affect challenging market conditions and elevated log costs in British Columbia. The company took close to 150 million board feet of curtailment in BC and announced additional permanent and temporary reductions in Q3 as Don has outlined. Average Western SPF sales realizations reflected a 10% decline in pricing across most dimensions. This more than offset modestly lower unit log costs and a seasonal decline in cash conversion costs. For the U.S. South record rainfall and severe flooding across that region delayed the start of a typically busy spring construction season, tempering demand and contributing to lower lumber sales realizations in the quarter. Despite these conditions, however, our U.S. South operations continued to deliver solid results again this quarter. As Don also noted, our newly acquired European lumber business performed well in Q2 with lumber prices and demand remaining relatively stable in that region. Operating income before amortization in the quarter was over $30 million before adjusting for acquisition-related items. Our pulp business also had a solid quarter in Q2 with Canfor Pulp reporting operating income of $18 million. After adjusting for an inventory write-down at period end, the company reported operating income of $32 million for Q2, an improvement of $14 million from the previous quarter. Our manufacturing costs benefited from improved operating rates at our mills and also reflect the scheduled maintenance outages at Intercon and Taylor. Average pulp sales realizations showed a moderate decline quarter-over-quarter, but prices deteriorated as the quarter progressed with prices in China falling 17% through May and June in response to significantly lower demand and continued elevated inventory levels. Most of the effects of this price erosion will be reflected in our Q3 results given the timing of shipments versus orders. The tough market and fiber-related conditions resulted in us implementing phased summer curtailments at our Intercon and Northwood NBSK mills and at Taylor BCTMP mill reducing Q3 production by an estimated 75,000 tonnes of NBSK pulp and 25,000 tonnes of BCTMP respectively. Yesterday, we announced an extension of our curtailment at Taylor until September 9 further reducing BCTMP production by 25,000 tonnes. Capital spending for the first quarter totaled -- for the second quarter totaled approximately $82 million and included approximately $58 million in the lumber business and $24 million in Canfor Pulp. For 2019, we're currently anticipating total capital spend of approximately $185 million for Canfor and $95 million for Canfor Pulp. We anticipate much lower capital spending in 2020 following the completion of several major upgrades and projects in both companies in 2019. At the end of the second quarter, Canfor excluding Canfor Pulp had net debt of approximately $960 million and available liquidity of $290 million. Canfor Pulp ended the second quarter with zero net debt with available liquidity of just under $100 million. And lastly, Canfor Pulp's Directors approved the continuance of a quarterly dividend of $6.25 per share for the second quarter yesterday. And with that, Don, I'll turn the call back to you.
Don Kayne: All right. Thanks, Alan. Operator, we're now ready to take questions from analysts.
Operator: Thank you. We will now take questions from financial analysts. [Operator Instructions] Your first question is from Mark Wilde from BMO Capital Markets. Please go ahead.
Mark Wilde: Good morning Don, good morning Alan.
Don Kayne: Yes, good morning Mark.
Mark Wilde: I want to thank you guys for including more VIDA details in the commentary this time around. I wondered just starting on VIDA, if you could give us some sense of the impact of those VIDA outages on the third quarter financials. It looks like it's about kind of three weeks across the system there.
Don Kayne: Yes, that'd be about right Mark for sure. For the most part yes close to three weeks. And probably -- second half impact that were just from a revenue standpoint, we believe is going to probably reduce the revenue by about 5%. That's what we're -- at this stage of the game, that's what we're anticipating.
Mark Wilde: And what about the kind of the -- just the financial impact from having them out? Because it's a basically a quarter of the quarter. So, do you take all of the hit on that in the third quarter or do you amortize those summer outage costs across the year?
Don Kayne: Yes, largely it will be borne in the third quarter, but -- so I think for your purposes to do what you're suggesting I think is appropriate, but there would be a reasonable assumption a third is the quarter that is.
Mark Wilde: Yes. Okay. And then just in addition we've been thinking about VIDA is doing something around $145 million for the full year. Is that still a good number based on what you see right now for 2019?
Alan Nicholl: Yes. So, the way I'd answer that Mark is certainly for the first half of 2019, our results are very consistent with that number you mentioned. We do see, as Don mentioned, a little bit of pressure on the pricing side. We will hopefully get some abatement on the log cost side. So, maybe a little bit less than that. But certainly for the first half of this year we're very much in line.
Mark Wilde: Okay. And then just turning to the pulp business I just wondered given the closures that we're seeing in terms of the sawmills up in BC, Don does this change the competitive landscape for kind of the Western Canadian pulp business? And do you foresee downsizing in the industry as a result of lower fiber availability?
Alan Nicholl: Yes. So, yes, it's a fair question Mark. I mean I think the commentators are indicating there have to be at least one or two pulp mills that have to close in BC that's consistent with curtailments that many expect for the lumber business. For us, right now, we're -- as you know we've taken the downtime that we've announced and that's really principally to make sure that we have sufficient fiber. Our competitive prices still run through the fall and winter. So, we feel we're in a reasonably good position there. But clearly no one is immune from the impacts and the risks associated with the lumber market curtailments and the landscape there.
Don Kayne: Mark if you look at the lumber side of it, I mean clearly what we're seeing in terms of reductions already and what we expect to go forward which not only we have a view but also there's been a lot of external views from different consultants in terms of the numbers which seem to be increasing. Clearly, there's going to be ramifications for some of the probably one or two higher cost pulp mills as well potentially down the road here. So, that would be our view.
Mark Wilde: Okay. And then finally for me I wondered if you can just update us on capital spending plans in light of the soft markets right now whether you pulled back at all. And maybe include in that commentary kind of where we're at vis-à-vis that Greenfield that you had talked about in that Southern U.S.
Don Kayne: Yes, we'll deal with the Greenfield first and then I'll get Alan to give you a little more color around the capital this year and then what we're thinking about next year. But -- because of the -- I think I got the easier question. But in terms of the -- in terms of Washington and Georgia which I think you're referring to, right now, we still have that one unfold for the time being. And at this stage it really has -- it's not really on our radar screen at all. Right now we're -- we've got some other priorities that we're working on. So, down the road here, we'll probably look at that again but it will be in -- it will be certainly well into 2020 before we start to and even look that again for the time being.
Alan Nicholl: Yes. And just in terms of spend Mark as you probably picked up in my comments, we do see our spending lower in 2020 both for lumber and pulp and that for the most part is reflecting the depletion of in the case of pulp a number of bigger projects. We still have one that's going to be done here in the spring. I think in terms of lumber, we're well advance in terms of that organic growth initiative in the U.S. South. So we do see a natural opportunity to pare back. And to your point with the market conditions as they are I think that the total capital spend number is going to be about closer to $200 million which where it's at today. That's our current thinking anyway.
Mark Wilde: Okay. That's helpful. I will turn it over.
Alan Nicholl: All right. Thanks.
Operator: Thank you. Your next question is from Sean Steuart from TD. Please go ahead.
Sean Steuart: Thanks. Good morning guys. Two questions, the lumber unit costs actually trended a little better than we expected when you back out the duties and inventory revaluation. You referenced in the MD&A some log cost release in Western Canada, which I guess I was a little surprised by. Can you quantify that this quarter? And give us a sense of how quickly the July stumpage hike will roll through your second half results I guess according to your logging schedule? Any sense you can give us there?
Don Kayne: For sure Sean. Maybe Stephen – we've been doing a lot of work on that you have been so go ahead and give a Sean update on that one.
Stephen MacKie: Sure. Good morning, Sean. So just with respect to log costs and some of the relief that we're seeing obviously with Don talked about all of the capacity downtime that we've seen we have seen some moderation or softening in purchase wood markets, slightly down depends on the – on a region by region basis but we're seeing a bit of softening in timber bead behavior. We're also benefiting from significant working capital and high log inventories as a result of some of the capacity outages. So while we did see that's a significant stumpage increase effective July 1 we haven't seen that yet really into our results yet and we've got sufficient inventories going into the back half of this year. So we do expect continued upward pressure until we see the full effects of rationalization across BC. We've got fiber spike constraints that are still dragging costs up but we are seeing some moderation there. If that helps you.
Sean Steuart: Okay. That does help, Stephen. One follow-up on VIDA as well. I just want to make sure I'm looking at this and I appreciate the context you've given us in the results in the report. It looks to me like your average price realizations quarter-over-quarter dropped by about CAD70 per thousand board feet, and I guess some of that is the timing of the acquisition closing maybe a few other the items, but maybe you can help connect the dots there because it doesn't sound like markets were off that much in Europe. And the pressure you're expecting through the second half of the year can you give us any context on percentage terms how much you're anticipating there?
Don Kayne: Maybe, Alan why don't you go ahead?
Alan Nicholl: Yeah. So there was – yeah, we can may be chat a little bit offline in terms of some specifics to your question there Sean. But yeah, there was a modest reduction in sales realizations, wasn't a very significant mindset because as we mentioned prices stayed relatively stable there. So overall, I think we didn't see an appreciable decline there. So we maybe need to have a little chat just to kind of figure out what you're seeing in your numbers.
Sean Steuart: Okay. And the magnitude of weakness you're expecting through the second half any sense you can give us there?
Don Kayne: Yeah. I mean, I think as I mentioned I think – maybe I didn't but earlier on I mean we – the second half of this year we will be up about 5% on pricing. But we do believe though there'll be some offset there on log prices too because like unlike in North America at least not as much in North America in Europe you tend – when revenue goes up, you tend to see log costs go up to some degree. And when revenue goes down you tend to see log prices go down. So your margin is probably more protected than what it is in North America at least that's what we've seen over a number of years.
Sean Steuart: Okay. That's all I have. Thanks very much guys.
Don Kayne: Thank you, Sean.
Operator: Your next question is from Paul Quinn from RBC Capital Markets. Please go ahead.
Paul Quinn: Yeah. That's very much and good morning.
Don Kayne: Good morning, Paul.
Alan Nicholl: Good morning, Paul.
Paul Quinn: Just following up on this fiber, I guess fiber to the pulp mill availability. Can you remind us what Canfor is supplying to Canfor Pulp in terms of fiber availability? And is this materially going to shift with the – your round of curtailment announcements?
Don Kayne: I'm going to let Alan talk to that.
Alan Nicholl: Yeah. So Paul typically Canfor supplies between 60% and 65% of Canfor Pulp's requirements. So, clearly, there's some correlation with curtailments that we've been taking. Having said that, as we mentioned in the press release, we have pretty reasonably cost options in terms of all our chips, with our chip plant that's quite adjacent to our Northwood mill in particular. So there's a number of things that we've been doing, clearly, to mitigate the actions there.
Paul Quinn: Okay. And then, just on the curtailments themselves it sounds like, from -- I don't know, from my perspective you guys have done just a huge amount of the heavy lifting required to balance this BC log availability, versus log demand side. Is it surprising you that we haven't seen, I guess, some of the smaller privates take out some capacity, given where pricing is and where their mill economics are?
Don Kayne: Yes. I don't know if we're surprised or not. I think at the end of the day, we try to just really focus -- maybe unlike the past, but we're really focused on what's the best economic footprint in British Columbia for ourselves, really. I mean, that's really what we've been focused on more than ever. And we're really -- and we absolutely tried to not worry too much about what anybody else is doing, really. I mean, we've got lots of work to do ourselves and so that's what we've really been spending our time, Paul. And I think -- but I do think as we go forward here, I mean, you know that we would expect though, particular companies that don't have a lot of fiber security or self-sufficiency, that they'll be having to make some of the tough decisions that some of the other companies have already made. And we think that, that will happen. Our expectation would be over the next, probably 30 days, 60 days, that we'll start to see some of that perhaps.
Paul Quinn: Okay. That's fair. And then, I guess, we talk a lot about BC log costs. But you've got a mill in Alberta. Maybe, if you can just give us an idea of what you're seeing there in terms of relative log costs, and then what you're seeing on inflation side.
Don Kayne: So, Steve, why don't you -- 
Stephen MacKie: Yes. Sure. Good morning, Paul. So I'm probably not going to give you as much as you'd like there, but maybe suggest that it's definitely lower log costs in Alberta. We're really pleased with our Alberta operation, could use a couple more of them. But relative to British Columbia, certainly, the costs are far more competitive and we're pretty happy with our position in Alberta.
Paul Quinn: And then are you seeing any kind of log price inflation there? Or how sensitive is that Alberta log pricing model or stumpage model to lumber prices and demand?
Stephen MacKie: Yes. As far as, I think, you probably know Paul, I mean, it's far more responsive to the lumber markets and quicker reaction in terms of the current market conditions. So we're seeing better stumpage in Alberta than currently we're facing in British Columbia.
Paul Quinn: All right. That’s all I had. Best of luck guys. Thanks.
Don Kayne: Thanks.
Alan Nicholl: Thanks.
Operator: Thank you. Your next question is a follow-up from Mark Wilde at BMO Capital Markets. Go ahead please.
Mark Wilde: Yeah. I wondered, Don, if you and the crew could just give us a little more color on what you're seeing in China right now, in terms of both demand and how you think the inventory situation is?
Don Kayne: Yes. For sure. We'll give you two views, one on lumber and one on pulp. So, Kevin, why don't you start with lumber and then Brian will give a pulp update there.
Kevin Pankratz: Sure. So, for sure, our shipments into China are down a little bit here, but largely reflecting lower -- low grades that -- or lower -- low grade that we're making. And so, we do expect that that's going to -- trend is going to continue. And the offset to that will be, just more focus on some of the higher-valued products into China, and in fact even expanding into Southeast Asia. And, for sure, some softness in the market there, but it's a reallocation and a focus of where we're channeling our energies on the market development to higher-valued products there.
Don Kayne: Brian, what about pulp?
Brian Yuen: Sure. Good morning, Mark. Yes. On the pulp side, for sure, we're in the seasonally slow period in China. But on the positive side, the curtailments announced over the summer period by the -- by [indiscernible] has definitely helped stabilize the market. And, in fact, we've seen a modest uptick in softwood pricing in China this month.
Mark Wilde: That's good news. Is it possible to get some sense, Alan, of how we might see your realizations move kind of between the second quarter and third quarter? I think you've mentioned that, a lot of the decline will show up in the third quarter, just because of timing on shipments.
Alan Nicholl: Yes. It's a fair question, Mark. I'm not sure I'm going to be able to help you a whole lot in the call, but appreciate where you're coming from. But I think, typically, there's a little bit of a lag here as you pre-ship between taking the orders and when we actually ship the products. So if you factor in what happened in May and June and, certainly, take a percentage of that and roll that in for a good part of Q3, you're probably not going to be too far away -- too far often as a starting point. But it is not easy to financially model. You got weak order file in there. You got spot prices moving around in contrast and more stable contract business as well. But that would be the only guidance I could give you Mark just to at least start you off there.
Mark Wilde: Yes. The final one, I've got is, just the lumber market is -- seems particularly weak right now. I'm just curious that Random Lengths price and the SPF 2/4 is down at like 322 last night. A, can you generate cash at those kind of levels in BC right now? And then B, I just wondered if you have any thoughts on what was going on in the repair and remodel market because I've heard some commentary over the last couple of months about big-box retailers really trying to pull back on their inventories in the U.S., The Harvard Center for Housing Studies recently pulled down their both historical numbers on repair and remodeling spend and also, put out a pretty cautious outlook if we look forward a year or, so wondered, if I can get your perspective on the market from both of those angles.
Don Kayne: Why don't you start with the market first Kevin and Kevin, if you don’t mind it? You used to do a lot of work around that?
Kevin Pankratz: Yes. So Mark based on like what we're seeing in the market there on the R&R side, we've actually had some pretty good growth year-over-year. So it's -- actually it started in Q4 of 2018 and we've seen that trend continue all the way through the current state. And in fact, we see that trend continue for the balance in the year and into next year. So, it's the one segment that we've actually seen some pretty good growth from a volume unit point of view.
Don Kayne: Mark, there's going to be one other on -- in addition to that that's exactly right, Kevin. But I mean -- as we've heard similar comments that you just raised there, but I mean at the end of the day the one thing about the retail business as you -- that we've been dealing with for a long time is with -- through the VMIs and it's a really good indicator of true demand, right? There is no speculation. Absolute takeaways. And like Kevin mentioned in all of the distribution areas pretty much where we have product, we've seen those kind of increased overall. So I mean for us, we're definitely not -- we're not seeing what some of these external consultants or whatever they're called are been -- have been talking about overall, right, which is actually encouraging. And it's quite significant growth actually that we're in as Kevin mentioned, right? So Stephen, in terms of the cash cost and so forth.
Stephen MacKie: Yes. I mean -- and Mark I guess maybe the way I would -- the only guidance, I can give you there is, I think it's well reported that the current market levels are unsustainable from a BC perspective given our fiber cost and operating cost, numbers in the low 300s on a 2/4 basis are well below cash breakeven for the BC sector as a generalization and that's unsustainable. And I think you're seeing the impacts of that with all last year reduction that you've seen across the industry.
Mark Wilde: Okay. That’s really helpful guys. Thanks very much.
Don Kayne: Okay. Thanks Mark. Take care. 
Operator: Thank you. There are no further questions. I will now turn it back over for closing comments.
Don Kayne: All right. Thank you, very much operator and look forward -- thanks for everybody that joined the call and look forward to talking to you at the end of Q3.
Operator: Ladies and gentlemen, this concludes today's conference call. We thank you for participating and we ask that you please disconnect your lines.